Operator: Good afternoon, and welcome to Diodes Incorporated First Quarter 2025 Financial Results Conference Call. At this time, all participants are in a listen-only mode. At the conclusion of today's conference call, if anyone needs assistance at any time during the conference call, please press the star key followed by 0 on your touch-tone phone. As a reminder, this conference call is being recorded today, Thursday, 05/08/2025. I would now like to turn the call over to Leanne Sievers of Shelton Group Investor Relations. Leanne, please go ahead.
Leanne Sievers: Good afternoon, and welcome to Diodes First Quarter 2025 Financial Results Conference Call. I'm Leanne Sievers, President of Shelton Group, Diodes Investor Relations firm. Joining us today are Diodes' president, Gary Yu, chief financial officer, Brett Whitmire, senior vice president of worldwide sales and marketing, Emily Yang, and director of investor relations, Meet Daliwal. I'd like to remind our listeners that the results announced today are preliminary as they are subject to the company finalizing its closing procedures and customary quarterly review by the company's independent registered public accounting firm. As such, these results are unaudited and subject to revision until the company files its Form 10-Q for the quarter ended 03/31/2025. In addition, management's prepared remarks contain forward-looking statements, which are subject to risks and uncertainties, and management may make additional forward-looking statements in response to your questions. Therefore, the company claims the protection of the safe harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today, and therefore, we refer you to a more detailed discussion of the risks and uncertainties in the company's filings with the Securities and Exchange Commission, including Forms 10-Ks and 10-Q. In addition, any projections as to the company's future performance represent management's estimates as of today, 05/08/2025. Diodes assumes no obligation to update these projections in the future, except to the extent required by applicable law. Additionally, the company's press release and management statements during this conference call will include discussions of certain measures and financial information in GAAP and non-GAAP terms. Included in the company's press release are definitions and reconciliations of GAAP to non-GAAP items, which provide additional details. Also, throughout the company's press release and management statements during the conference call, we refer to net income attributable to common stockholders as GAAP net income. For those of you unable to listen to the entire call at this time, a recording will be available via webcast for ninety days in the Investor Relations section of Diodes' website at www.diodes.com. And now I'll turn the call over to Diodes' president, Gary Yu. Gary, please go ahead.
Gary Yu: Welcome, everyone, and thank you for joining us on today's conference call. As announced in our press release earlier today, we delivered another quarter of year-over-year growth, achieving a 10% increase as the recovery in our target end markets continues to improve. First quarter revenue exceeded our expectations due to better-than-seasonal performance in the computing market in Asia, primarily driven by increasing opportunities for Diodes' products in AI-related applications. Additionally, we are seeing improving market conditions in Europe and North America, as those regions have begun to show signs of rebounding from recent lows. Our automotive and industrial markets totaled 42% of first-quarter product revenue as we continue to see expanding automotive content and design opportunities. Another notable indication of improving conditions is that channel inventory dollars and days have continued to decrease and appear to be more aligned with real demand and historical POS levels. Although the inventory depletion is a positive sign for Diodes and the broader market, the reduction in channel and internal inventory combined with absorbing the Chinese New Year holiday temporarily limited increased loading at our manufacturing facility, and therefore, gross margins. As channel inventory continues to normalize and global demand improves, we should see a more material expansion to gross margin in future quarters. Additionally, qualifying more products in our internal facility to increase loading combined with recovery in our higher-margin automotive and industrial markets will also contribute to driving future margin improvement. As further evidence of increasing momentum, we are guiding for the third consecutive quarter of year-over-year growth, and with the second quarter also expected to be the first quarter of both year-over-year and sequential growth in this recovery cycle. Even though the global market remains dynamic, especially with the recent tariff, Diodes is strategically positioned to meet global customers' needs with our hybrid manufacturing model and internal facilities located across the US, China, Taiwan, and the UK. One final comment before turning the call over to Brett. As you may have seen, we also announced today a $100 million stock repurchase program, which further reiterates our confidence in the business and future growth prospects. Diodes is in a unique position with our strong cash flow generation and a healthy balance sheet to continue investing both organically and in M&A while also returning capital to stockholders through this share buyback. With that, let me now turn the call over to Brett to discuss our first quarter 2025 financial results as well as second-quarter guidance in more detail.
Brett Whitmire: Thanks, Gary. Good afternoon, everyone. Revenue for the first quarter of 2025 was $332.1 million, compared to $302 million in the first quarter of 2024 and $339.3 million in the fourth quarter of 2024. Gross profit for the first quarter was $104.7 million, or 31.5% of revenue, compared to $99.6 million or 33% of revenue in the prior year quarter and $110.9 million or 32.7% of revenue in the prior quarter. GAAP operating expenses for the first quarter were $103.4 million, or 31.1% of revenue, and on a non-GAAP basis, were $97.1 million or 29.3% of revenue, which excludes $5.8 million amortization of acquisition-related intangible asset expenses, $300,000 in restructuring charges, and $200,000 in acquisition-related costs. This compares to GAAP operating expenses in the prior year of $86.6 million or 28.7% of revenue and $99 million or 29.2% of revenue in the prior quarter. Non-GAAP operating expenses in the prior quarter were $95.5 million or 28.1% of revenue. Total other expense amounted to approximately $4.1 million for the quarter, consisting of a $5.8 million impairment of an equity investment, $4 million in unrealized losses from investments, $500,000 in interest expense, $200,000 of foreign currency losses, and $5.8 million of interest income, and $600,000 in other income. Losses before taxes and non-controlling interest in the first quarter of 2025 were $2.8 million, compared to income of $18.8 million in the prior year period and income of $12.3 million in the previous quarter. Income taxes in the quarter were $20,000, primarily as a result of the geographical mix of pretax income and loss across tax jurisdictions. We expect the tax rate for the full year to be approximately 18% plus or minus 3%. GAAP net loss for the first quarter was $4.4 million or a loss per share of 10¢, compared to net income of $14 million or 30¢ per diluted share in the prior year quarter and net income of $8.2 million or 18¢ per diluted share last quarter. The share count used to compute GAAP loss per share for the quarter was 46.4 million shares. Non-GAAP adjusted net income in the first quarter was $8.8 million or 19¢ per diluted share, which excluded net of tax $4.8 million for amortization of acquisition-related intangible assets, $4.8 million for impairment of an equity investment, $3.2 million noncash mark-to-market investment value adjustment, $200,000 restructuring charges, and $100,000 of acquisition-related costs. This compares to non-GAAP adjusted net income of $13 million or 28¢ per diluted share in the first quarter of 2024 and $12.5 million or 27¢ per diluted share in the prior quarter. Excluding noncash share-based compensation expense of $5 million for the first quarter, net of tax, both GAAP net loss and non-GAAP adjusted net income would have increased by 11¢ per share. EBITDA for the first quarter was $26.2 million, or 7.9% of revenue, compared to $48.3 million or 16% of revenue in the prior year period and $40.7 million or 12% of revenue in the prior quarter. We have included in our earnings release a reconciliation of GAAP net income to non-GAAP adjusted net income and GAAP net income to EBITDA, which provides additional details. Cash flow provided by operations was $56.7 million for the first quarter. Free cash flow was $40.8 million, which included $15.9 million of capital expenditures, and net cash flow was a positive $26.2 million. Turning to the balance sheet, at the end of the first quarter, cash, cash equivalents, restricted cash, plus short-term investments totaled approximately $349 million. Working capital was approximately $868 million, and total debt, including long-term and short-term, was approximately $52 million. In terms of inventory at the end of the first quarter, total inventory days were approximately 87, as compared to 93 last quarter. Finished goods inventory days were 80 compared to 82 last quarter. Total inventory dollars decreased $3.9 million from the prior quarter to $471 million. Total inventory in the quarter consisted of a $5.2 million decrease in finished goods, a $1.2 million increase in raw materials, and a $49,000 increase in work in process. Capital expenditures on a cash basis were $15.9 million for the first quarter or 4.8% of revenue, which was at the low end of our targeted range of 5 to 9% of revenue. Now turning to our outlook. For the second quarter of 2025, we expect revenue to increase to approximately $355 million, plus or minus 3%, representing 11% growth over the prior year period at the midpoint, which will be the third consecutive quarter of year-over-year growth. GAAP gross margin is expected to be 31.8%, plus or minus 1%. Non-GAAP operating expenses, which are GAAP operating expenses adjusted for amortization of acquisition-related intangible assets, are expected to be approximately 28% of revenue, plus or minus 1%. We expect net interest income to be approximately $1.5 million. Our income tax rate is expected to be 18%, plus or minus 3%, and shares used to calculate EPS for the second quarter are anticipated to be approximately 46.4 million. Not included in these non-GAAP estimates is amortization of $4.8 million after tax for previous acquisitions. With that said, I will now turn the call over to Emily Yang.
Emily Yang: Thank you, Brett, and good afternoon. As Brett and Gary mentioned, revenue in the first quarter was above our original expectations and represented a 10% growth over the prior year period and down 2.1% sequentially, which is better than the typical seasonality. Our global POS increased in the quarter, and our channel inventory was lower in terms of both dollars and weeks. Looking at global sales in the first quarter, Asia represented 78% of the revenue, Europe 13%, and North America 9%. We are seeing improvements across all regions, with a higher book-to-bill ratio and a stronger beginning backlog going into the second quarter. In terms of our end markets, industrial was 23% of Diodes product revenue, automotive 19%, computing 27%, consumer 17%, and communication 14% of the product revenue. Our automotive and industrial revenue combined totaled 42%, which is comparable to the last quarter. Our ability to maintain this level of revenue as this end market undergoes inventory and demand adjustments reflects the success of our past and ongoing content expansion and design win initiatives. Let me now review the end markets in greater detail. Starting with the automotive market, we maintain product revenue at 19% and are seeing the overstock situation continue to improve. We see some demand recovery, but visibility is still limited. Our focus remains on content expansion and market share gain to position Diodes for growth as the auto market recovers. In terms of our demand creation, momentum remains strong throughout the quarter with expanding design ins and design wins across all focus areas, including connected driving, comfort, style, safety, and electrification. Several examples include our FBR product with several designs in ADAS and automotive panel applications, while our buck converters, newly released MOSFET, silicon carbide MOSFETs, and 400-volt TVS products were designed into DC-DC, onboard charging, and EV charging applications. Additionally, our low IQ LDO family and high current LDOs receive solid demand for always-on MCU power supply and wireless charging applications. We're also seeing rapid adoption of our small Lincoln PCI Express packet switches, USB Type-C redrivers, and active crossbar MUXes for real C entertainment and smart copy applications. Our bidirectional TVS diodes are also being designed into Copic T-box applications, while our high power-rated TVS products are being designed into several automotive applications. Additionally, our dual-line CAN bus protectors have been selected for protection in battery management system applications, and our five-volt overcurrent protection switches saw solid demand for electronic control unit systems. Also, in the auto market, we extended the strong design-in momentum for our linear LED drivers and multimode controllers being used in rear and backup lighting and headlight applications. Our CMOS crystal oscillator and spread spectrum crystal oscillators are seeing traction in image sensor reference clocks driven by higher data rates for sensor resolution. Turning to the industrial market, the inventory correction continues similar to the automotive market. Although we are seeing some signs of improvement at certain end customers, overall demand is still slow to recover. Visibility is also limited in the industrial market, and we are seeing more short lead time orders. Despite the slow demand recovery, we continue to make progress and gain design momentum across a number of products and applications. Our silicon carbide diodes and MOSFETs have been winning designs in 800-volt PC power supplies and elevator power applications, while our bridge rectifiers are being designed into switching power supplies for telecom, desktop, and server applications and power delivery adapters. Also, in the industrial market, our buck converters are winning designs for industrial gate drivers and oven control applications, and our wide-wing LDOs saw solid demand for fans, power tools, and e-meter applications. We're also securing strong design wins for our linear LED drivers in traffic and transportation signs. Our bidirectional TVS products have several design wins for interface, IO, and battery management system cell protection in multiple industrial applications. Additionally, our contact image sensor products for AOI are being utilized in battery film inspection, glass and printing measurements, panel inspections, barcode printers, as well as check scanner applications. In the computing end market, our ongoing design momentum in the AI server and data center applications continues to be a key highlight for Diodes in the quarter. We secured wins for our newly released PCI Express 6.0 clock generators and clock buffers, as well as PCI Express packet switches to expand the CPU's IO requirements, as well as BMC controllers, USB host controllers, security encryption processors, and MCIO cables. Also, for the AI servers and high-speed data applications, our SBR products have been increasing design ins, while our crystal oscillators are gaining traction in optical modules for faster data rates, and our ultra-low jitter crystal oscillators are seeing traction in smart network interface cards. Within the broader computing market, demand remains solid for Diodes bus switches in enterprise SSD applications, and our eUSB 2 repeater solutions have become the standard interface for CPUs and SoC processors. Additionally, our MEP D5 redrivers are being used in laptop PC camera applications to enable a higher bandwidth camera interface, and our newly introduced MOSFETs are seeing traction for DC-DC power converter applications in servers and laptops, while our PCI Express 5.0 clock generators and protection devices are being designed into docking station applications. In the consumer market, we are gaining design win traction with our FBR and TVS products for AC-DC power supplies for TVs, printers, gaming adapters, and chargers applications, and our protection devices are being adopted in brushless DC fans and air conditioning applications for smart home appliances. Also, in the consumer market, our bus switches solution enjoys steady revenue for SSDs and next-generation portable gaming console applications, and our five-volt overcurrent protection switches receive strong demand for physical interface power ports such as USB and HDMI. Additionally, Diodes' newly released level shifter product family also achieved design wins in applications such as PC memory, smartwatches, and other computer applications. Lastly, in the communication market, Diodes' ESD protection products are winning designs in smartphone camera applications with AI features, while our MOSFETs are being designed into mobile phones for battery management applications. We're also seeing traction in 5G applications for our protection devices. Additionally, our ultra-low jitter crystal oscillators are being utilized in gigabit switches and optical modules for AI networking and data center applications. One final comment. The recent US-China tariff increases and related impact remain a very dynamic situation, especially the potential effect on our customers. We are working closely with our customers to monitor the situation while also reviewing the potential exposure across our products. Diodes has multiple manufacturing facilities located around the globe, and many parts are alternative manufacturer flow qualified. We anticipate an immaterial impact. Additionally, our hybrid manufacturing model provides us with the flexibility to adjust our capacity planning between internal and external as well as supply chain arrangements, thereby mitigating the cost impact related to the trade tariffs. In summary, as evident by our comments today, our business is gaining increasing momentum with achievements of consecutive quarters of year-over-year growth. Additionally, our overall inventory has continued to improve and positions us to benefit from a broadening recovery of demand across our end markets. And although the current tariffs create economic uncertainty, Diodes' hybrid model and global manufacturing footprint enable us to strategically meet the needs of our customers. We remain highly optimistic about our growth prospects in 2025 and beyond. With that, we now open the floor to questions. Operator?
Operator: Thank you. We will now begin the question and answer session. To ask a question, you may press star then 1 on your touch-tone phone. If you are using a speakerphone, please pick up your handset before pressing the keys. If at any time your question has been addressed and you would like to withdraw your question, you may press star then 2. At this time, we will pause momentarily to assemble our roster. And your first question today will come from David Williams with Benchmark. Please go ahead.
David Williams: Good afternoon, everyone, and congratulations on the solid execution here.
Emily Yang: Thank you. Thank you, David.
David Williams: Yeah. So I guess my first question is really through earning season, it's been pretty clear that demand has been better than anticipated. And as you kind of think through that, I'm curious if you're seeing any demand pull forward just kind of given where inventory levels were. We had largely tried to digest those, and then lead times have gotten pretty short. And then now we have the tariff situation. So it feels like there could be some pull in here, and you kind of think, at least we have to think there's some demand destruction that is ongoing. So I guess, how do you square that with just the momentum that you have in the business? And is there anything you would point to that kind of gives you more confidence in the stability of the demand that you're seeing today?
Emily Yang: Yeah. David, this is Emily. Right? So definitely, tariffs created uncertainty, especially on the end demand with our customers. So the only thing we can do is work very closely with the customers and watch the situation to really kind of understand the longer-term impact from the business side. I think, regarding pull-in, to be honest with you, we don't really see a lot of pulling activities, you know, but I think of the other angle, if you look at the channel inventory, it definitely depleted more. Right? I talk about POS increase as well as channel inventories in terms of weeks also in terms of dollars, both in decreases. So this is all positive signs. Right? So on the other hand, if I look at the backlog, if I look at a book-to-bill ratio, they all improved. I think from the actual business point of view, I also talk about automotive, industrial, we definitely see the inventory improvement. Overall, we're definitely seeing more of the activity going through. As well as POS increase. Right? So I think all these are positive signs that we are definitely going through a recovering period. So I think that's pretty much what we've seen so far.
David Williams: Great. Appreciate the color there. And I know you all are really close to your customers, so your insight is helpful. Secondly, I guess, just as you think about your manufacturing footprint and you've had an ongoing strategy to really port internal versus external. Does any of this tariff situation change that strategy or maybe the pace at which you try to bring some of that internal so you have greater flexibility? Or how do you think about that, Gary?
Gary Yu: Yeah. Actually, David, this is Gary. Let me help answer this question here. Right? As you know, we manage our hybrid manufacturing model very well through the past few years. And then we will continue to drive, you know, to porting our external, you know, our product on external to our internal wafer fab. This will not change at all. And, actually, we are doing very well, and we do see quite a few good milestones to qualify our process and product in our internal wafer fab and facility. And, also, we do see our, you know, external customer do qualify our product and start to receiving those PO from, you know, those key customers in several, you know, key segments. So this will be the direction from Diodes to continue doing that regardless, you know, the tariff issue. But a good advantage for Diodes, you know, we don't have so much tariff impact because of the hybrid manufacturing model. As well as our footprint across the three different regions. Right? It's really kind of not focused only on one region, and there will be very easy to tell my customer, we can easily have second source in the different kind of region and to supply customer. So that's why we so-called the flexibility to support the customer need. Right? So as Emily mentioned about it, we don't really see a lot of, you know, pulling because of products kind of flexible. We do see, you know, the customer request us, you know, to replace maybe somebody else, and we are very easy can catch that up as their demand.
Emily Yang: Yeah. So I think if you look at the overall supply chain, it changed a lot, right, from globalization to regionalization, to maybe countryization, wherever you want to call it. We believe we actually have a good structure in place both front end and back end, to really support wherever the need or the future change requirement will be.
David Williams: Perfect. And then just one last one for me, if you don't mind. Just kind of on the AI CapEx trends, those are clearly moving in the right direction. You have some nice exposure there, I believe. Can you talk maybe about where you're seeing that demand regionally? And then if there's maybe any shifts in terms of that AI CapEx or just any color around those trends, I think, would also be helpful. Thank you.
Emily Yang: Yeah. So I think we have to probably look at the AIs in different portions. Right? The one we're actually seeing with the ad ramping up demands ongoing with a lot of new It's really more on the hyperscalers doing the more data center areas. Right? What we've seen, that's still ongoing. You know, here and there, there's a little bit up and down, but all in all, this is really positive. Especially with the pipeline expanding more customers with the newer designs, and we'll be ramping up more I think on the other areas, really on the edge computing side, we're also seeing a lot of new opportunities that really working down from high hyperscaler to the next level, I think that's going to be an even bigger opportunity for Diodes overall. Because that's going to consume a lot of different board sizes and different applications and different customer bases. I would say, all in all, we're still seeing the beginning of the ramp. We didn't really see significant adjust from the CapEx expansion point of view. What we've seen really more on the positive side. The other thing we've been focused talking about really on the content expansion. Right? So, you know, if you look at you know, we compare AI server versus a regular server, you can actually use the increase from $68 to 90 some dollars. Right? So that will continue to be the focus overall for Diodes. You know, in the future.
Operator: Your next question today will come from Tristan Gerra with Baird. Please go ahead.
Tristan Gerra: Hi. Good afternoon. Could you talk about the gross margin catalysts that you see in the second half or any potential headwinds? You've talked in your prepared remarks about some acceleration potentially in gross margin. And I know that contractually, you have opportunities in the second half to increase insourcing versus what you're currently doing with outside fabs. So how should we look at all of this in terms of gross margin direction and perhaps quantifying kind of the key factors including utilization rates in terms of their contribution to gross margin expansion?
Emily Yang: Yeah. So Tristan, this is Emily. You know, let me walk you through the margin impact currently what we're seeing. Right? So the manufacturing service agreement, the loading definitely lower than our expectation. You know? And then if look at the overall inventory bill, if we compare the one with the Chinese New Year versus last year, as evidenced by our internal inventory decrease, as well as the channel inventory decrease, right? So this is all the signs that we are actually adjusting some of the inventory build and also because the Chinese New Year. Right? On the other hand, I think it's normal. We've been talking about price pressure. One to 2%, we definitely see some from there. But still within our normal range. So I would say that's pretty stable. So I think all in all, you're getting pressures in different areas. So what we doing is actually, like you said, we will continue to push the internal loading, portings, loadings, as well as qualification of the product. But I want to be really honest with you because the economy situation the customer approving the change product change notice is definitely a little bit longer than what we expected. But overall progress is really good. So that's gonna continue to drive some of the margin improvement, the second half. We also expect second half revenue growth and that will also increase some of the loadings to minimize some of the underloading cost. Right? At the same time, we will continue to drive the manufacturing cost down together with the product mix improvement initiative with a new product introduction, replacing some of the old product with newer product, focus on auto industrial, the Pericom product, as well as the analog power discrete. So this will continue to be the With everything combined together, we are confident that we will see margin improvement throughout the next few quarters.
Tristan Gerra: Yeah. Oh, go ahead. Yeah. So for my second question, and I don't know, Gary, if you wanted to add on to my That's alright. That's alright. Yeah. Yeah. So we're going to see, probably some, some of your peers unloading capacity 50 millimeter of kind of capacity in The US, possibly worldwide as you know, some of your peers have clearly excess capacity. Does that present opportunities for you to get assets at a good price toward your medium-term revenue goal? Or would you say adding capacity near term is not on the table given the current macro?
Gary Yu: Well, I will say that, you know, Tristan, you know, I will do believe, you know, our capacity currently is coming stable. Right? And especially on the utilization, as Emily mentioned about, But I do believe that this year is gonna be the great year for Diodes. All your listings are gonna get improved. However, even though you see the first quarter, second quarter, utilization compared to, like, a second half could be lower, But, you know, our product mix, you know, could be some utilization. We're a % loaded. And that's why I will not stop investing any CapEx to to expand our capacity to support customer needed. At the same time, I will try to do our best to to make sure our our internal capacity more efficient way to being used, and our consolidator can capacity into the capacity which we still have a very high demand or short lead time request coming in. To support customer need it. So I would say that, yeah, I will do you know, I will continue to put a CapEx into the capacity which is very, very, you know, hot at this moment. But, also, at the same time, I'm gonna reduce capacity, especially for those, like, commodity stuff. Know, consolidate into the capacity where we need it. So we just need to make sure we use our capacity utilization very, very carefully at this moment. Okay. Made the right investment is what we want to do.
Brett Whitmire: Yeah. Tristan, I think one thing to think about would be that the some of the excess capacity that others may make available we see that disruption as maybe opportunities in our top line. Versus necessarily thinking we need to increase our manufacturing footprint right now.
Gary Yu: Especially, we're doing very well on our hybrid model. Right? Because, you know, if there's really some capacity, you know, is we don't really wanna invest probably those low-end commodity. We can always go to the subcom.
Tristan Gerra: Okay. That's very useful. And then just a very quick one. Have this tea inventories normalized within your target range? I know it's improving, but is it now at level you're comfortable with, or is there a bit some more progress, to get to those targeted levels?
Emily Yang: So we define the normal range 11 to fourteen weeks. Right now, the inventory is still slightly higher than that. But if we look at the market outlook, without the tariff consideration, right, remove that, we definitely expect the second half will be a growth compared to the first half. So with that situation in place, we're actually pretty comfortable with the inventory level that we have in the channel. Really supporting the the the targeted growth coming.
Brett Whitmire: Yeah. Because the rest of the week's calculation is backward looking. And as we look at it, we really feel like what we've done to get the right mix in the channel is quite good. Right. And so we're pretty we're in a we feel like we're in a good place to drive growth and have good availability.
Gary Yu: Mhmm. Right. And the most recent, I think you already know, short lead time PO is going up. A lot, which means, like, that customer try to change their bill, you know, location dynamically. Right, just due to the tariff issue. So we wanna make sure, you know, we have a the the inventory available, even the WIP available to cover the customer's urgent need no matter where it is.
Tristan Gerra: Great. Thank you very much.
Operator: Thank you, Tristan. This concludes our question and answer session. I would like to turn the conference back over to Gary Yu for any closing remarks.
Gary Yu: Thank you everyone for participating on today's call. We look forward to reporting our progress on next quarter's conference call. Operator, you may now disconnect.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.